Operator: Good morning, ladies and gentlemen, and welcome to the B3's Earnings Results Presentation for the Second Quarter of 2025, where Andre Milanez, B3's CFO, will discuss the results along with Fernando Campos, Investor Relations Associate Director. [Operator Instructions] As a reminder, this conference is being broadcasted live via webcast. The replay will be available after the event is concluded.
Fernando Tavares de Campos: Hi, I'm Fernando Campos from B3's Investor Relations team, and welcome to another earnings event where Andre Lanes, B3's CFO, and I will analyze the results of the second quarter of 2025. Andre will start by providing an overview of the quarter. Andre?
Andre Veiga Milanez: Thank you, Fernando. In a macro scenario without significant changes with high interest rates in Brazil and some isolated volatility events impacted by the political scenario, we were able to deliver, again, consistent results for another quarter, thanks to our diversified business model. Our total revenue grew by 1% in comparison to the second quarter of '24, driven by the good performance in fixed income and technology, offsetting a weaker performance of derivatives, which had, by the way, a tough comparison with the highest volume in history of B3, which took place in the second quarter of last year. Compared to the first quarter of this year, the growth was 3% with a better performance in equities. Net income reached BRL 1.3 billion and earnings per share were BRL 0.25, a 13% increase compared to the second quarter of '24, which reflect the execution of the company's buyback programs during that period. Fernando will now talk a little bit more about the operational performance, and I will provide some additional financial highlights after that. Fernando?
Fernando Tavares de Campos: Thank you, Andre. Starting with the market segment in derivatives, the ADV totaled 1.8 million (sic) [ 11.8 million ] contracts, a decrease of 3% compared to the second quarter of 2024 with lower activity in interest rates and indexes and a stronger comp, as mentioned by Andre. It's worth mentioning that we reduced the size of the Bitcoin contract, which is why we see changes in the total ADV in the previous quarters. On the other hand, revenue per contract grew by 3%, in line with the decrease of volumes. As for Bitcoin futures, they contributed BRL 37 million in revenue, and we made some margin -- some collateral adjustments that impacted the volumes for the coming quarters. And for another quarter, we saw a strong performance in the OTC derivatives with growth both in issuances and in outstanding balance. Revenue from derivatives totaled BRL 193 million, (sic) [ BRL 893 million ] decrease of 6% compared to the second quarter 2024. In fixed income, which continues to perform well and once again presented double-digit growth in operational metrics, when compared to the second quarter of 2024, reflecting a strong DCM activity and the search for interest-linked assets in the current scenario, reinforce the defensive characteristic of this revenue group. Here, it's worth highlighting the 23% growth in the corporate debt outstanding balance. In equities, in cash equities, we saw an increase in the ADTV, a 90% increase in ADTV, which totaled BRL 26.1 billion and an increase in the turnover velocity, which went from 136% in 2Q '24 to 143% in 2Q '25. Here, it's important to highlight once again the performance of other products such as BDRs, ETFs and listed funds, which represented 15% of the total volume in the cash equities. Regarding the fees, like we saw in the previous quarters, there was a mix that was significantly influenced by the volumes of indexes options exercised and market makers. So it's still a little low. So revenues from equities represented 21% of the total revenue for the quarter. In other segments, some highlights for other segments, Capital Market Solutions, worth highlighting the good performance from DataWise+ analytics to capital markets. In the Data Analytical Solutions, it's worth noting that we had the impact of the Desenrola program in 2Q '24 so which affected the revenues from vehicles and real estate. Without that effect, we would see a growth in that line. In Platforms and Analytics, the revenue grew by 14%, mainly in the verticals of credit, loss prevention and insurance. Technology and Platforms growth in the fund industry with impacts both in the utilization, which impacts the technology line and the registration custody of fund quotas, which impacts the market support services. Now Andre will talk about B3's financial performance and some strategic advances.
Andre Veiga Milanez: Thanks, Fernando. Other points to draw your attention to here. So first, in revenue deductions, we recognized a nonrecurring impact this quarter that reduced this line by approximately BRL 75 million, which is related to accumulated tax credits from PIS and COFINS that were recognized in the quarter. In expenses, the quarter was in line with our planning with growth above inflation compared to the second quarter of '24. Again, here, just important to emphasize that this was already according to our planning, which is mainly impacted by the data processing line, and it is reflecting a better, let's say, distribution and scheduling of our expenses throughout the quarters and therefore, reduced volatility between the quarters and increase predictability of our expenses behavior. In personnel costs, the growth reflects, in addition to the collective bargaining agreement, some tax adjustments resulting from the merger of Neoway and Neurotech, which were also expected. As a result of all of that, that we discussed both in terms of revenues and expenses, our recurring EBITDA totaled BRL 1.7 billion this quarter, 3% lower than the second quarter of '24, but 4% higher than the first quarter of this year with a recurring EBITDA margin of almost 70%, 69.8% to be more precise. In financial results, it is important to highlight the impact of the monetary adjustment on the PIS and COFINS tax credits that I mentioned during the beginning of my speech, which amounted to approximately BRL 30 million during this quarter. And also talking about taxes, I think it is worth highlighting that this was the first quarter post-merger of Neoway and Neurotech that we began to use the tax benefit generated by those transactions with a positive impact of around BRL 41 million during the quarter. Regarding the return to our shareholders, we had a total return of approximately BRL 580 million in the quarter with BRL 202 million deployed in buybacks and BRL 378 million in interest on capital. And finally, regarding our agenda of new products, I would like to highlight some products that were launched or announced during the quarter for different types of investors for retail, for institutional investors, but reinforces what we have been discussing in previous calls about a much more -- a much stronger pipeline and agenda of new products, which we'll continue to see throughout the year. So I would like to highlight the launch of new futures in the crypto family. We did have the launch of the Ethereum and the Solana Futures, also derivatives linked to the Ibovespa B3 BR+, which is an alternative version of our traditional Ibovespa Index, such as the micro futures and the monthly and weekly options on this new index. And also the good futures. We also had the futures on offshore interest rates, including Mexican interest rates, U.S. interest rates and European Union interest rates. As I said, the pipeline of new products will remain being one of our key priorities for this year. And you can -- you should expect to see that evolving continuously throughout the next quarters with a very robust pipeline of new products and B3 ensuring that we are bringing and meeting market demands and bringing innovations to our clients continuously going forward. Thank you again very much for your support.
Operator: [Operator Instructions] Our first question comes from Tito Labarta from Goldman Sachs.
Daer Labarta: A couple of questions, I guess, if I can. Just on the new products, maybe first on the crypto assets. How are you seeing the potential for that or I guess, investor demand? I mean, do you think that's a big opportunity? Or are there any other products that you see that could contribute significantly in the coming years? Or what are you most excited about with these new products? And then second question, just if you can give an update on just what you're hearing on the competitive environment. There are several competitors that are talking about launching in the coming year or 2. But just anything you're hearing on your side, I guess, particularly with potential competition on the clearing side of things, interoperability. Just any update you have on that would be helpful.
Andre Veiga Milanez: Tito, thanks for your question. Can I -- I'll try to answer here because we might have missed the end of your last question. So I'm going to try to answer. And if there is anything we did not cover, please feel free to -- and let us know, okay? So regarding the products, I think -- look, I think it is difficult to tell exactly which ones are going to be very successful. I do -- I mean, we are seeing demand for this kind of products, and that's the reason why we are launching, whether they are going to get traction as fast as we have seen on the Bitcoin future. It's difficult to say. We will -- we are working with market participants with our clients, with brokers, et cetera, to ensure that incentives are in place, that we have market makers. So everything that we can do in order to ensure the success of these products that we are doing. And if we are seeing anything that we can do to improve, we will be working on that. But I think more than one individual product, I think the success here is to ensure that we are covering all that demand. I don't think all of them are going to be extremely successful. But if at least one of these products becomes extremely successful, that's already a significant return on the investment that was made, which was, I would say, marginal for the company. Regarding your second question, look, I think besides what we have been hearing on the news in articles on newspapers and things like that, there's nothing really new in relation to the plans of those competitors. I think they continue to evolve on their journey, getting -- becoming ready, operationally speaking, working on their regulatory approvals. And I think that remains being the case. So I don't think there's anything significant to highlight in relation to that at this stage.
Daer Labarta: Great. No, that's helpful, Andre. Maybe just a follow-up on that. Anything that you're hearing from the regulator in terms of interoperability for a central counterparty? And also, I guess, on the internalization of orders, is any update you have on that from the regulatory side of things?
Andre Veiga Milanez: Not at this stage, Tito. So this is not a conversation that we are having in terms of those requirements for interoperability. And in relation to the internalization, the regulator remains evaluating all the responses that we received last year as part of their request for further information. And I think they will continue to work and digest all of that information throughout the second half of this year.
Operator: Our next question comes from Renato Meloni from Autonomous Research. Renato Meloni Bernstein Autonomous LLP So on the fixed income side, with the looming changes in taxation for the tax-exempt notes, right, to be effective at the end of 3Q. I'm wondering if you're already seeing some volumes moving forward and if that was a factor here in second Q. But also wanted to understand if you expect this to help and give maybe a lift on 3Q results.
Andre Veiga Milanez: Thank you, Renato, for your question. I don't... [Technical Difficulty]
Operator: Ladies and gentlemen, please hold on while we reconnect -- speaker. You're back?
Andre Veiga Milanez: Sorry, I'm back here. So I don't think that has had an effect on the volumes on the second quarter. Whether this is going to help to maybe anticipate some volumes of transactions, I think that's a possibility, even though I think it is too early to say whether this is already happening or not, but this is also a possibility. I don't think it changes the dynamic that we are seeing in this market. It might move transactions that would happen maybe later in the year or beginning of next year and people wanting to anticipate a little bit of that. But I don't think that changes significantly the dynamic that we should expect for that market during this year. It remains being a very attractive and a very active market, which is also helping the results of the company here. Renato Meloni Bernstein Autonomous LLP That's clear. If you just allow me for a follow-up, right? When we're talking to banks, we see this general deceleration in growth that's expected. And of course, that will generate less demand for funding. And I wonder if you're expecting anything on that also impacting volumes for you guys.
Andre Veiga Milanez: Sorry, can you repeat just -- I just missed the beginning of your question here. Renato Meloni Bernstein Autonomous LLP Yes. So just thinking generally for the banking sector, right, there's a large expectation of slowdown in growth for the rest of the year, and that leads to less demand for funding as well. So I'm wondering if you're already seeing some of that dynamics and what expectations do you have here for issuances that would affect you guys?
Andre Veiga Milanez: Look, I think if you look at the trend that we have seen so far, volumes are still very healthy. So maybe in terms of total volume of new issuances this year, we might be 5% to 10% below what we have seen last year. Much more transactions. So the number of offers this year has been much higher than the number of offers last year, which means that we are seeing smaller sized transactions this year. But it remains a very healthy and active market. So we have to remember the last year was an all-time high record in terms of issuances and volumes. We might not break that record again this year, but we still have a volume that is significantly higher than the average of the last few years. So far, I think we remain seeing a positive trend here, even though we might not see that increasing on top of what has already been a very successful year, which was last year.
Operator: Our next question comes from Daniel Vaz from Safra.
Daniel Vaz: Congrats on the results. You have been doing a very good job on diversifying revenues recently and making the business less dependent on cash equities, right? So in the past years, that was a focus, especially with a prolonged high interest environment. So as this story seems to have largely played out, right? So what should be we looking at this next strategic growth lever that management we're going to focus, right? So is it more product -- products or pricing strategies or cost efficiency. So I wanted to touch base on that priorities right now for management, especially as we move to a more competitive environment going forward, right? So good to hear about that and try to understand if the company wants to tap in into new revenue pools or defend the current ones. So that's it.
Andre Veiga Milanez: Thank you for your question, Daniel. Look, I don't think it changes significantly our strategy. I think our strategy remains to continuously increase the offerings that we have on our core business, making it bigger and stronger and also to continue to selectively diversify into areas adjacent to our core business such as data and technology. I think we also need to be prepared either in terms of capacity, quality and product and the suite of products to be able to capture further growth that we will continue to see as the market continues to evolve and to become more sophisticated. So I don't think it changes significantly our strategy. I think it was, as you said, an important factor in the recent years that we believe will continue to drive the company growth in the future. I think looking at what we have been discussing, there are areas within the core business where we are, I would say, excited about the potential for future growth, such as the fixed income market. So the changes that we are seeing in that market becoming much more relevant for the country and opening new opportunities that we can explore new markets that are -- that will become realities such as the receivable market. But all of that are within our already core business, right? And we will continue also to expand in that core business and capture new opportunities there.
Daniel Vaz: And maybe a quick follow-up on costs, right? So your expenses seem controlled, but when we hear banks and -- especially the incumbents talking about at some point, reducing the efficiency ratio in a higher extent. So I wanted to get like a sense from you if -- when we look at your expenses here like data processing or revenue-linked expenses, these are growing at a fast pace still, so promotion, like marketing and stuff. How do you expect your expenses like to be in the next year, for example, when you're still growing at a high pace in some points?
Andre Veiga Milanez: Okay. Thank you for your question again. Look, in terms of expenses, I think it is worth noting first that the pace of the growth of our expenses this quarter does not reflect the pace of the growth that we are expecting for the year. The main reason is we are having a different let's say, distribution of the expenses this year. So you can expect -- you should expect our expenses to be less volatile between quarters. Our overall goal in relation to expenses remains to ensure that our costs are growing much more in line with inflation and making sure that we are continuously finding efficiencies to fund additional costs and additional investments in new products and new services that we will continue to expand. So that's our ambition and our goal here is to ensure that our cost base remains growing much more in line with inflation and ensuring that we are continuously finding additional opportunities for further efficiency here.
Operator: Our next question comes from Arnon Shirazi from Citi.
Arnon Orzes Shirazi: My question is related to the use of AI, especially on expenses. What are the opportunities that B3 sees in the future, if we can expect a huge improvement in efficiency or even some gains in revenue coming from it?
Andre Veiga Milanez: Thank you for the question, Arnon. This is already a reality here for the company. I think the full potential of all these opportunities are still not fully captured and reflected. I think looking at revenues, the more clear opportunity that we are seeing today is on data. So I think AI has already been part of some of our data initiatives here and becomes even more powerful with the adoption of Gen AI, and that is an agenda that we'll continue to pursue. We're already doing that, and we will continue to increase the use of AI on those solutions. And it is also an important tool that will help us linking to my previous comment on expenses that will help us to continue find efficiency opportunities, doing things more efficiently and in a faster way. And this is already being used in several initiatives throughout the company, mainly to increase the efficiency of our teams. How much of that will represent in terms of efficiency, this is something that we are not ready yet to disclose at this stage, but this is definitely something important in that journey of increasing the value of the solutions that we are offering to our clients, but also to increase the level of efficiency in our operations.
Arnon Orzes Shirazi: Great. And if I may, a quick follow-up on CARF decisions. What are your expectations?
Andre Veiga Milanez: Sorry, I didn't -- I missed your question.
Arnon Orzes Shirazi: No problem. CARF-related decisions. If there's any update on it.
Andre Veiga Milanez: Update on what, sorry? -- really bad -- the audio here.
Arnon Orzes Shirazi: CARF decisions, the tax dispute.
Andre Veiga Milanez: Okay. Sorry. No, there is no significant development there. As we discussed, I think we are expecting further reductions in our cases because we are seeking to reduce the amount of fine similarly to what happened in our first case where there was a reduction in the amounts under dispute because part of the fines were extinct. We are trying to achieve the same result for the second case. Both of them, as you recall, are already being discussed at the judicial system. 3 and 4 are the cases that we won, so they are out of the way. And we are still with the fifth case at CARF. And with that case, there hasn't been any significant developments in the last few months, of course. But of course, if there are some developments we will keep you guys and the market aware of that.
Operator: Our next question comes from Kaio Prato from UBS.
Kaio Penso Da Prato: I have two on my side, please. The first one, if I may, is a quick follow-up on expenses. Andre mentioned about a reduced volatility throughout the year. But if you can talk a little bit about how do you see the trajectory to year-end and how it fits into your guidance, if this should be closer to the up or the lower range of the guidance for the year? This is the first one. And the second is on the financial results. except from the nonrecurring event related to PIS/COFINS that we saw, still revenues were quite strong, financial revenues as well. So just wondering if you can share a little bit more details about that? And if this should be the more recurrent level going forward, having said that Selic should remain at high levels.
Andre Veiga Milanez: Thanks for the question, Kaio. Regarding the expenses, look, as we always say, the second half of the year tends to be a period where you have some pressure on the cost because of the -- primarily because of the adjustment to our salary expenses, which usually takes place around August. So it is typically where you see an increase to the cost base as a result of that adjustment. But as I mentioned, we have been working to ensure, let's say, less volatility between the quarters and a better schedule of spending, both in terms of our projects and other initiatives of the company. So that means that you can expect the pace of growth in relation to last year to decelerate a lot during the second half of the year. We are still on track to deliver our guidance for expenses. At this point, I think it's still a little bit early to tell you whether this is going to be more towards the lower band or the upper band. Of course, we will work to ensure that the lower band is our final result. But at this stage, I think it is still a little early to give you more color on that. The only thing I can confirm at this stage is that the -- our ability to deliver the expenses this year within the guidance is confirmed. So we're still very much on track to deliver the guidance for expenses. In relation to the financial results, look, I don't think there -- besides the nonrecurring items. And I think in terms of comparison with the first quarter, you have to remember that during the first quarter, we also had some nonrecurring items. I think that there was nothing really different there. So that you can expect that to be a pattern for the following quarters. The only thing that is difficult to control there is the level of third-party cash that we carry and that can vary significantly because it depends on external parties putting collateral in cash. So we can have some volatility coming from those balances. And of course, the higher those balances are, the higher the financial income that the company captures on those balances.
Operator: Our next question comes from Pedro Leduc from Itaú BBA.
Pedro Leduc: And it comes in regards to equity margins. This quarter, they increased a bit 2.6 bps Q-on-Q, even though we had much higher volumes. So maybe you can talk to us a bit about what drove that slight improvement, maybe mix, but wondering if there's a little bit more regarding that. And also, if I compare it year-over-year, it's down, but I understand there's been some changes. But you can review with us a little bit on how margins in equities are behaving, how you're thinking about it for the second half of the year?
Fernando Tavares de Campos: Thank you for the question, Pedro. Fernando here. So basically, on the quarter, it was basically the mix. So compared to the first quarter, we saw a lower volume of options -- index options exercised and a little less activity from market makers. So those are the volumes that are partially or they are basically, there is no tariff on it. The trends that we're seeing for the future, we just implemented some changes on our pricing schedule regarding the ones that we announced last year. So they are valid now in August. Like we said in the past, we didn't expect any meaningful impact on it. But I think it's something that we should look on for the next quarters. So -- but basically, it was mix, and we expect that to kind of sustain throughout the year because the mix is being impacted by the macro scenario where we are not seeing basically some natural demand. So those guys gain a little bit of importance on the breakdown of [indiscernible].
Pedro Leduc: That's great. That's great that you remind us as well about the new pricing scheme coming in, in 3Q. So we shouldn't expect any level change here in these margins as this gets implemented, right?
Fernando Tavares de Campos: No. The idea is that we don't have any meaningful impact when we run the back test. So there wasn't any kind of meaningful impact on the revenues.
Operator: Our next question comes from Antonio Ruette from Bank of America.
Antonio Eduardo Gregorin Ruette: So my question goes on products. If you look at exchanges globally and compare it to B3, which revenue source -- revenue driver would you consider that you are missing that you can still implement into B3. So in terms of data, markets or any other solutions, which key product is missing to B3 at this point?
Andre Veiga Milanez: Thank you, Antonio, for the question. That's an interesting one, Antonio. I honestly don't think that there is any significant areas that we are not already exploring or starting to explore, but it's definitely much room for increase in some of those areas. I think rather than looking at that as a comparison with the other exchanges, I think some of that has also to do with the level of development of our market in comparison to some of those markets. And taking, for instance, fixed income as an example, right? In other markets, it is a much more developed market. We are finally seeing some of that movement happening here in Brazil with the sophistication of that market new revenue opportunities becoming reality. So secondary market of fixed income, data initiatives, pricing solutions. So I think some of those opportunities more than not being properly explored by the exchange also have to do with the stage of maturity of our market. I do believe that some of those opportunities, we also have a role in helping to develop that market, and this is what we will continue to pursue and explore over the next few years.
Antonio Eduardo Gregorin Ruette: Yes, that's an interesting point, Milanez. If you could explore a little bit more on the side of fixed income, particularly considering you are through Trademate. What do you think it's missing for Trademate to pick up to gain and share in terms of total treasury trading volumes and also made an expansion into also with Trademate on private securities.
Andre Veiga Milanez: Thank you, Antonio. Look, I think we could spend a lot of time discussing that here. I mean, -- it is something that will take a while, but we're already seeing some of those results. So the level of electronic trading taking place through the platform today, particularly for government bonds is already increasing. How can I -- I can try to you -- describing this as kind of a virtuous cycle, right? So you need to gradually increase liquidity that will, in its turn, attract more clients interested in trading, which in its turn increased liquidity and better prices, which, again, will attract more players. So that will it's already starting to spin, but it takes some time for that to continue to spin in high velocity, let's put it this way. So part of that movement has already started, but it takes some time for that level of liquidity to increase. Something similar will happen for the private fixed income market. The strategy, not necessarily exactly the same, but it goes to the same, let's say, fundamentals here, liquidity, more players, market makers and these sort of things.
Operator: Our next question comes from Carlos Gomez from HSBC.
Carlos Gomez-Lopez: Two, in particular, you mentioned the merger of Neurotech. I wanted to ask if you could give us an assessment about your investment in data analytics, your conclusion after a few years about what you need to do in this space, whether you need to acquire more, whether you going to stay in this business and what we could expect for it. Second, I wanted to know if you have seen or you expect to see any impact from the approval of crypto legislation in the U.S. And how can that affect you either positively or negatively in the future?
Andre Veiga Milanez: Thanks for the question, Carlos. Look, regarding the data business, I think we -- as we said, I think those were the 2 acquisitions that we had mapped and identified that were important to our strategy in data. Those acquisitions were made. I think we more recently were able to capture part of the synergies from those acquisitions with the merger of them. So primarily at this stage, the tax synergy, which is significant, we are already starting to capture. There might be room for a small add-on here and there, but nothing of the size of what these 2 companies were. And I think the biggest focus now is on the execution, on extracting the synergies, especially on the revenue side on products and clients and to continue to grow that business. So it becomes more and more relevant as part of our revenue pie. So that's the focus now, the big -- the main focus is going to be on execution from now on. Regarding your second question on the crypto legislation, I don't think that has a direct impact as of now. But I think it helps. I mean we have already been exploring those products in the past. We were one of the first changes to launch ETFs on crypto and things like that. So I think that just reinforces our also agenda here on continuing to improve the offerings that we have for this market as well. So I think too soon to call at this stage, but I don't think it has a direct impact. But if there is one, I think it is positive to us.
Carlos Gomez-Lopez: And do you feel that there's a need in Brazil for legislative changes that would allow the development of this market?
Andre Veiga Milanez: I think that there are still -- there are already discussions underway, right, in relation to the regulation on that market. So I think it will help. Regulation will help the development of that market, but that's already being discussed with the Central Bank and other regulators. We just need to keep monitoring that.
Carlos Gomez-Lopez: Okay. But there's nothing in particular that you feel that you need to see change either at the regulatory level or at the legislative level, which you think is urgent?
Andre Veiga Milanez: No, not at this stage, no, Carlos.
Operator: Our next question comes from Eric Ito from Bradesco BBI.
Eric Ito: Congrats on the results. I have only one here, a quick follow-up on derivatives, especially on the future of crypto assets. I think it's a line that was -- came from particularly 0 revenues to almost BRL 40 million in the recent quarters. So I just -- but this quarter, I think we saw a relevant contraction in the RPC, and it was -- we saw also a deceleration in volumes. I just want to understand if you could give us some color on how does the mix here works, why we saw such a contraction in the average RPC. I don't know if that's related to the product that you launched, maybe Solana and Ethereum. And just to understand how this should evolve going forward as well.
Andre Veiga Milanez: Thank you, Eric, for your question. Regarding the volume, there was some deceleration on the volume that has to do with the margin requirements on that product that have increased. This is -- this was also introduced in connection with the revision of the size of the contract, but the increase in margin requirements for that product has had an impact on volumes which helps to explain some of the deceleration that you were seeing on the volumes. In relation to the RPC behavior, I'll hand over here to Fernando to discuss that.
Fernando Tavares de Campos: Actually, RPC increased in this quarter. So -- but it's what Andre mentioned about the volumes. So there is an increase in the collateral requirements, which impacted a bit of the volumes, but we saw actually an increase in collateral. And as far as the other crypto futures, they are still recent. So they are performing in line with the expectations of the company, which we knew that it wouldn't be as high as the future. So they are in line. They are performing relatively well, but the main impact on the crypto was given the change in the collateral requirements.
Operator: Our next question comes from Henrique Navarro from Santander.
Henrique Navarro: B3 has been very active on the buybacks, the debt [indiscernible]. Can you please comment on -- just remember us how much of the original plan was already executed? And what are the plans for the future?
Andre Veiga Milanez: Thank you for the question, Navarro. When we announced the buyback program this year -- for this year, at the end of last year, you have to remember that we -- our share price was much lower than the current one. At that stage, I think there was the expectation that we would be executing the full size of the program, given that the share price has reacted a little bit. We probably will not execute the full program. As of today, I think we have already executed around 25%, 30% of the around 20% of the program, but we'll continue to execute that throughout the year. As we always say, we will scale more towards buyback or dividends depending on market behavior on the share price behavior. So that means that if we see share price coming down, it is more likely to see the proportion of buyback as part of the total distributions of the company increasing and the opposite as we -- if we see market price appreciating. But so far, it's between 15% to 20% of the total execution. This is disclosed in our website and our Investor Relations materials.
Operator: Our next question comes in written form from Anthony Cracchiolo from Soapstone Capital. Can you explain why derivatives revenue declined at 6%, while ADV was minus 3% and RPC plus 3%?
Fernando Tavares de Campos: So the main factor here was the number of business days. So in the second quarter of 2024, there were 2 more business days, which makes a meaningful difference on that line.
Operator: And a next question from Anthony. What will the impact to B3 be from the recent provisional measure, which increases the CSLL tax rate? How much should this increase your total tax rate? And how likely is that this measure is or not is adopted?
Andre Veiga Milanez: So in relation to the question about the social contribution tax rate, the provisional measure increases our social contribution rate from 9% today to 15%. This increase is applicable as from the 1st of October this year. But if the provisional measure is not approved by Congress or converted into law, it loses its validity. At this stage, I would say there is -- it's not 100% sure that this will become -- that it will be approved. So I think there is a chance that this is not approved by Congress, and therefore, that would not ultimately result in an increase for our social contribution. But this is something that we need to continue to monitor very closely here.
Operator: And last question from Anthony. How do you expect recent volatility from tariff discussion to impact your business?
Andre Veiga Milanez: Volatility, I think it is something that ultimately benefits our business. I think a lot of volatility from a very long time is not healthy, but some volatility always helps boost volumes and helps a little bit. I don't think that has been so far a significant factor in terms of the performance of our volumes here, maybe for particular stock, but not necessarily for the whole market. Yes, at the end of the day, I mean in summary, some volatility is not bad for the business here.
Operator: Thank you. This does conclude today's question-and-answer session. I would like to invite Andre Milanez to proceed with his closing statements. Please go ahead, sir.
Andre Veiga Milanez: Thank you very much. I just wanted to thank everyone for joining our call. Thanks. It's been another quarter where we saw the relevance of our business strategy in diversifying our revenue streams and our business play an important part on the results that were delivered. I would like to thank everyone that has been working hard on the preparation of all these materials for the release of our results, our shareholders and our -- all the community for the support. Have a nice Friday and a good weekend ahead of us. Thank you very much until the next quarter. Thank you.
Operator: That does concludes B3's presentation for today. Thank you very much for your participation, and have a wonderful day.